Operator: Good day, ladies and gentlemen, and welcome to the Independence Realty Trust First Quarter 2018 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] And as a reminder, this conference may be recorded. I would now like to turn the conference over to Ms. Lauren Tarola with Investor Relations. Ma’am, you may begin.
Lauren Tarola: Thank you. Good morning, everyone. Thank you for joining us today to review Independence Realty Trust’s first quarter 2018 financial results. On the call with me today are Scott Schaeffer, our Chief Executive Officer; Jim Sebra, our Chief Financial Officer; and Farrell Ender, President of IRT. Today’s call is being webcast on our website at www.irtliving.com. There will be a replay of the call available via webcast on our Investor Relations website and telephonically beginning at approximately 12:00 pm Eastern time today. Before I turn the call over to Scott, I would like to remind everyone that there may be forward-looking statements made in this this call. These forward-looking statements reflect IRT’s current views with respect to future events and financial performance. Actual results could differ substantially and materially from what IRT has projected. Such statements are made in good faith pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Please refer to IRT’s press release, supplemental information and filings with the SEC for factors that could affect the accuracy of our expectations or cause our future results to differ materially from those expectations. Participants may discuss non-GAAP financial measures during this call. A copy of IRT’s press release and supplemental information containing financial information, other statistical information and a reconciliation of non-GAAP financial measures to the most directly comparable GAAP financial measure is attached to IRT’s most recent current report on the Form 8-K available on IRT’s website. IRT’s other SEC filings are also available through this link. IRT does not undertake to update forward-looking statements in this call or with respect to matters described herein, except as may be required by law. Now, it is my pleasure to turn the call over to Scott Schaeffer.
Scott Schaeffer: Thank you, Lauren, and thank you for joining us this morning. First quarter of 2018 produced positive results that were in line with our expectations and guidance provided on our last earnings call. The quarter was highlighted by successfully completing the integration and onboarding of communities acquired in late 2017 and early 2018 as well as the initiation of the first phase of our value-add program. As of quarter end, all five communities identified in Phase 1 of our program have renovations now underway. Starting with the brief overview of our financial performance and operating results. IRT reported core FFO per share of $0.18, in line with the first quarter of 2017, and adjusted EBITDA of $23 million, up 18% year-over-year. Revenue growth was strong, up 8% sequentially and 17% year-over-year. Same-store NOI for the quarter grew 2% year-over-year. Our same-store NOI growth was impacted by severe weather-related incidents across a number of our core markets that led to heightened operating cost and softened leasing traffic. With the seasonal first quarter weather trends now behind us, we have already started to see a notable uptick in leasing spreads and are on track to achieve our full year 2018 guidance. One of the critical components of our growth strategy is our value-add initiative. We have emphasized over the past few quarters that we are actively focused on identifying opportunities to make improvements that will increase rental rates and reduced operating costs, which together will generate strong returns on investment and increase value for our shareholders. Based on our belief that there are future opportunities within our portfolio, we have developed in-house capabilities that can oversee and execute on the value-add projects, providing a greater level of control and efficiency by eliminating the cost of third-party construction managers. We are happy to report that we have five communities underway and are on track to deliver units throughout 2018. So far we are experiencing sizable rental growth in these five communities. But keep in mind, we’ve just started the value-add initiatives. While we expect these initiatives to be beneficial later in the year as more renovated units are completed and leased at a premium, there may be some near-term volatility in occupancy at these properties. Additionally, remember that we will begin value-add projects at an additional nine communities we have identified as Phase 2 of our value-add initiative later this year. All in, over the next year and a half, these value-add projects are expected to generate approximately $9 million in incremental NOI annually and deliver material earnings accretion. We project that the completion of our value-add initiatives will positively impact our leverage levels by almost a full turn and allow us to take a meaningful step towards achieving our long-term target of mid 7 times net debt-to-EBITDA. This powerful value creation program for our shareholders demonstrates that our investment strategy goes far beyond owning right assets. We know how to unlock value through operating and managing our communities as well. To that end, the performance of our recently acquired nine-community portfolio has exceeded our expectations. On a year-over-year basis, we've driven revenues by 6% and reined in expenses by 2%, which has generated NOI growth of 12% for the portfolio. This outperformance underscores our investment thesis and can be attributed to the onboarding of these communities on to our revenue management platform, the elimination of property management inefficiencies and investing in the people at these communities. We believe that there are additional value to unearth specifically through value-add initiative. Over half of the properties in this nine-property portfolio are included in Phase 2 of our value-add initiatives set to start later this year. As always, we will continue to look for ways to expand margins and boost NOI in this portfolio. We are being disciplined and judicious in our use of capital and currently believe that the greatest value is being derived from this value-add initiatives. However, we continue to evaluate capital recycling opportunities. While we did not disclose of any communities in Q1 and we have not provided guidance around this initiative for the year, we will continue to monitor the markets and will selectively and opportunistically recycle capital out of existing communities, including our Class A assets, and into new communities that meet our investment criteria. Now I'll turning the call over to Farrell for an in-depth discussion of our markets and value-add projects and then Jim to review our financial results. Farrell?
Farrell Ender: Thanks, Scott. We continue to drive rent growth and maintain high occupancy levels in the first quarter of 2018. Same-store revenue increased 2% year-over-year, while operating expenses were up 2.1%, driving year-over-year same-store NOI growth of 2% during the period. This quarter was unique for our markets as the Southeast of the United States experienced one of the harshest winters on record, and I want to recognize our teams on the ground for their effort. The weather caused a significant decrease in walk-in traffic at many of our impacted communities and increased several expense categories. Utilities were up 5.6% or $120,000 due to unprecedented conditions with markets like Atlanta, [indiscernible] and Jackson and Raleigh experiencing higher institutes of freezing conditions and storms. Contract services were up primarily due to additional snow removal costs, and our casualty expenses we had none in Q1 of 2017 increased $80,000 due to the repair of frozen water lines. Our same-store NOI was propelled by several of our core markets. We saw strong top-line performance in Atlanta, Columbus, Orlando, Nashville and Hinesville, all delivering same-store revenue growth north of 5%. Further we saw double-digit NOI growth in Atlanta, Oklahoma City and Columbus. This outperformance shows a continued growth opportunity in our core markets. These increases were the result of a 50 basis-point increase to our same-store occupancy, which was 94.4% at the end of the quarter. Focusing on our larger markets, Atlanta continues to outperform and is benefitting from a thriving job market population growth. Our same-store properties in this market had revenue growth of 6.5% and a reduction of expenses of 6.6%, generating NOI growth of 14%. As we mentioned, it appears Oklahoma City bottomed out 12 to 18 months ago and is now starting a slow rebound. To boost occupancy, we reduced rents slightly and we're successful in increasing occupancy by 350 basis points over the last year. The result was an increase in revenue of 2.6%. Expenses decreased significantly as we’ve less units to turn as compared to last year producing NOI growth of almost 14%. Louisville saw a revenue increase of 0.5%. Much of this can be attributed to the start of the value-add project at our Jamestown Community, where we took units offline for renovations ahead of recent season. Expenses were down 2% generating NOI growth of 2.5%. Memphis had revenue growth of 3%, but we experienced some large real estate tax reassessments, which increased operating expenses by 5.1%, resulting an NOI growth of 1.5%. And while we increased rent for occupied unit by 1.7%, but this was offset by occupancy decline of 1% year-over-year from 96% last year to 95% this year, resulting in flat revenue. Most of the occupancy impact can be attributed to the asset community, which dropped 300 basis points from 97.4% to 94.3% as there was a property and lease-up in the submarket as well as the overall decline in traffic across the market due to weather conditions. As we stated on our last call, community in Orlando located in the Millenniums submarket has delivered consistent results even with significant supply pressure. Later this year, new community directly adjacent to ours will begin lease up and accordingly we may see some softness as this community - at this community in the second half of 2018. Similarly, Greenville and Charleston continue to be challenging markets. In Greenville, revenues up 3.5% year-over-year while revenue diminished 1.9% in Charleston. Our communities in these markets are Class A and are competing directly with new construction. Despite Q1 performance, we believe both these markets are still on track to deliver 1.5% revenue growth for 2018. Turning to investment activity. In addition to the closing of the last two communities in the nine-community portfolio acquisition, we purchased two communities in Columbus during the quarter, bringing our market exposure as a percentage of total units to 8.6%. While we updated you on one acquisition during the previous call, we subsequently acquired 235-unit community on February 27 for approximately $23 million. This community is situated in the Great Hilltop submarket of Columbus and is conveniently located between several employment hubs, including the Rickenbacker International Airport and the Business District in downtown Columbus. The community was 99.2% occupied at quarter end with an average rent of $881. These two communities were purchased at a blended 5.9% economic cap rate. As we signaled in the past, we believe the Columbus market has strong fundamentals evident by Q1 rent growth for the overall market at 3.1%. And we’ll continue to be opportunistic as we capitalize on the scale we have built there. Lastly, I want to share more details around the value-add initiatives. Echoing Scott’s statement, our value-add projects are going as planned and - few turns we projected. As of March 31, we completed 236 units of the 1,566 units in the Phase 1 at an average cost of $9,276 per unit. We are re-leasing units with an average monthly rent premium of a $154 per unit over the expiring lease, representing a 20% return. We expect to complete Phase 1 by the end of 2018 and are on track to being our projects in Phase 2 pipeline of nine communities, aggregating at total 2,753 units later this year. We expect to complete our Phase 2 projects by the end of 2019. With that, I’ll turn the call over to Jim for an update on the financials.
James Sebra: Thanks, Farrell. For the first quarter of 2018, net income available to common shareholders was $3.4 million, down from $44.1 million in the first quarter of 2017. Core FFO grew by $2.6 million to $15.6 million to the quarter ended March 31. Core FFO per share was $0.18, flat year-over-year primarily due to the timing of the acquisition of the nine-community portfolio and the related equity offering that occurred last December. Adjusted EBITDA for the quarter increased to $23 million, representing a 17% increase year-over-year. This shows that we are beginning to see the results of the portfolio transformation that we executed in 2017. We reported same store NOI growth of 2% and revenue growth of 2%, with property level expenses increasing 2.1%. While this is not the growth we've posted in previous quarters, it is in line with our projections and stated guidance for the quarter, and as both Scott and Farrell mentioned, was impacted by adverse weather conditions impacting leasing traffic, higher contract services for snow removal, higher utility expenses and casualty expenses resulting from repairs to frozen pipes. It’s not too often that Jackson and Mississippi has 10 degrees in the middle of January. Turning to our balance sheet. We closed Q1 with 56 properties and total gross assets of approximately $1.7 billion. This marked a 9% increase in gross assets sequentially and can be attributed to the close of remaining properties in our nine-community portfolio acquisition as well as the acquisition of two additional communities in Columbus, Ohio. This increase in gross assets increased our total debt to $903 million, bringing our total debt to total gross assets to 53.5%. From a net debt to adjusted EBITDA standpoint, our pro forma leverage was 9.4 times after adjusting for timing of acquisitions and the start of the value-add projects. As of quarter end, our debt is approximately 96% fixed with no significant debt maturing until 2021. Keeping our eyes on the longer term, we continue to believe that the incremental NOIs in the value-add initiatives will continue to propel our deleveraging efforts. We remain prudent and proactive in improving our capital structure, and we remain focused on organically growing NOI. As Scott and Farrell stated, our 14 value-add projects offer significant opportunity to unlock value and deliver return for shareholders. These projects remain on schedule to deliver the $9 million of incremental NOI and had a projected return of approximately 20%. As of March 31, our unencumbered assets as a percentage of our gross assets was 40.3%. From a total NOI basis, our unencumbered assets represents 39.2% of our portfolio. This information is now included in the Debt Summary page of our supplement. While this is slightly down sequentially due to acquisitions in the quarter, we remain committed to our long-term goal of increasing our unencumbered assets. With respect to guidance, we are reiterating our guidance for full year 2018. We expect core FFO per diluted share to be in a range of $0.74 to $0.79 and expect organic same-store NOI growth to be between 3% and 4%. Remember, we commenced value-add projects in five communities this quarter. We believe we will see some quarterly operational fluctuations due to the occupancy impact from these renovations, but view these near-term impacts as negligible compared to the long-term benefit of the projected rent premiums. We expect most of the impact from the value-add program to be realized in 2019 and beyond, subsequent to the completion of all 14 projects. To view our full set of guidance metrics, please review our first quarter supplement that can be found in the Investor Relations section of our website. With that, Scott, I'll turn the call back to you.
Scott Schaeffer: Thank you, Jim. As Jim stated, while we may realize fluctuation in market fundamentals on a quarter-to-quarter basis, we believe our underlying investment thesis is validated by a positive rental demand trends. The affordability that many [ph] provides combined with the housing shortage throughout United States continues to benefit our apartment communities. Earlier this month, the Wall Street Journal reported that as a result of the housing shortage, price homes in the United States rose 6.2% in 2017 at double the rate of income growth and three times the rate of inflation growth. These fundamentals in inherently make renting more cost effective, with 66% of renters claiming for rent for financial reasons, according to Freddie Mac survey conducted this past January. As further evidence that we are strategically located in a rate non-gateway market, during the first quarter, our markets outperformed the national average and the gateway market average in both population and job growth on a year-over-year basis. We are confident that the fundamental drivers of this growth will continue to provide the ability to increase rents and drive long-term shareholder value. We continue to invest in our communities, the technology and employees to make sure that IRT is taking advantage of these dynamics. I think at this time, operator, we’ll like to open the call for questions.
Operator: Thank you. [Operator Instructions] And our first question will from the line of Austin Wurschmidt with KeyBanc Capital Markets. Your line is now open.
Austin Wurschmidt: Hi. Good morning. I just wanted to focus on the revenue growth guidance. Clearly you suggested there was some softness due to the winter storms in the first quarter related to the traffic, but curious if you can give us some metric and help us understand the trends. Where is occupancy today versus quarter end? And what have you seen in new lease rates since the first quarter as well to kind of give some comfort that the reacceleration, I guess, is underway?
Farrell Ender: Yeah, Austin. It’s Farrell. I mean, we’re slightly better than where we ended the quarter in terms of occupancy, and we’re seeing a significant amount of new traffic that is converting into leasing. On a blended basis, our renewals are right around 3% for new and renewal leases. So we think that’s positive, and at 94.4% quarter end going into strong leasing season that we think there is some pent-up demand, we’re pretty optimistic.
Austin Wurschmidt: And with that, you said new and renewals were 3%, what was that during the first quarter?
Farrell Ender: About 1%, blended.
Austin Wurschmidt: On new blended?
Farrell Ender: I guess.
Austin Wurschmidt: Thanks for that. And then now I wanted to touch on -- as you guys think about the priorities related to external growth, your value-add initiatives and managing the balance sheet, can you just help us understand how you rank those? Clearly you were opportunistic with an acquisition this quarter, but ramped leverage fairly meaningfully, I guess, with the intention of bringing that down through disposition. But can you help us understand how you’ve ranked those priorities? And then can also touch on dispositions here then as well?
Scott Schaeffer: Sure. I would rank value-add first. I think, if you think about $9 million of incremental NOI growth, if you cap that at a reasonable level, you’re generating a $150 million to a $170 million of value for an initiative that’s going to cost us something less than $50 million to complete. So there is real value creation within that program. It also goes hand to hand with the balance sheet, because that additional NOI obviously helps to deleverage the net debt-to-EBITDA ratio or to bring that down. I would disagree with you a little bit that we’ve ramped up leverage meaningfully. Leverage was reduced, or lower I should say, because of the equity that we raised in anticipation of acquiring these properties and that equity we used to pay down the debt in the interim and we closed on the assets. So leverage really has not increased that much. It's really just because of the timing and the benefit we got at year end by having that equity used to retire the debt, again while we were waiting for the acquisitions to close. And then after that, I think the third thing would be continued growth through acquisitions. As I stated, we have been disciplined. We're not going to go out and do dilutive equity offerings just to grow for growth’s sake. If we -- if there is a time when we can issue shares in an accretive price and we can acquire assets that will then be accretive to our earnings, we'll take advantage of that. But in the meantime, we're focused on increasing or improving the portfolio that we have, generating increased returns through that improvement and to continue to manage the balance sheet.
Austin Wurschmidt: I appreciate that, Scott, and I guess I was referencing more the quarter-to-quarter sequential change in leverage. Clearly on a year-over-year basis, you're in line with where you were a year ago. So that's what I was referencing there in terms of the leverage change. Lastly, just on dispositions. Clearly you said you're evaluating the market, can you just give us a little bit of an update of what you're seeing in the market and how we should think about the timing of future dispositions as you think about the capital recycling initiatives you've talked about in the past?
Scott Schaeffer: The market for acquisitions is very competitive, as we all know. So that goes hand-in-hand with sales. I mean, obviously we would -- we're looking to take advantage of this aggressive market on the sales side, but at the same time, we want to be able to redeploy that capital in an accretive way. So we have an active pipeline that we're consistently updating and reviewing and working on. We've identified a number of markets that at the right time, when we can redeploy the capital, to identify the number of markets that we would be willing to exit. But we want to do it where it goes in hand-in-hand with the sale that goes hand-in-hand I should say with the acquisition, because we are focused on everything. Not just the leverage but we're focused on our payout ratio. And we all know that one of our goals is to bring that payout ratio down, so I don't want to shrink the company at this time just by selling assets without having the ability to redeploy that capital accretively.
Austin Wurschmidt: Great. Thanks for taking the questions.
Farrell Ender: Thank you.
Operator: Thank you. And our next question comes from the line of Drew Babin with Baird. Your line is now open.
Drew Babin: Hey. Good morning, guys.
Farrell Ender: Good morning, Drew.
Drew Babin: Starting off with Atlanta. You mentioned revenue growth was, I think, 6% something like that year-over-year and expenses were down about 6%. Can you talk about what drove those expenses down considering that the winter was tough? I guess I’m just curious kind of what line item drove that.
Farrell Ender: Yes. Some of it was -- it was really across the board, the majority on the expense side savings across the board. I mean, some of that was in turnover in repairs and maintenance, but it really was real estate taxes and insurance basically almost every operating special item is down slightly. And then on the rent side, it's just really -- it's been a really dynamic market for us, and that's why we're starting to see the benefit of the value-add, and we'll continue to see that throughout 2018.
Drew Babin: Okay, that helps. And then talking about, I guess, [indiscernible] and Greenville is two markets that have locations in new supply and where order were weaker. I guess, in those markets, despite the fact that fundamentals have been slowing and there is a lot of resets in the market, have cap rate evaluations changed at all to reflect that lower NOI growth expectation? Or do you see things continuing to be a solid as they add them there?
Farrell Ender: No. I think just given what Scott said about how competitive the marketplace is, you’re still seeing empty any movement in cap rates in those markets.
Drew Babin: Okay. And then I guess lastly just on the value-add projects. You mentioned that the Louisville asset there was some units taken offline, and I guess is it applies to the other projects’ value portfolio? Are you taking units offline for an extended basis at all of them? Or are there some assets where you’re just doing renovations on or maybe you have a little more downtime than you would typically have?
Farrell Ender: Yes, that’s exactly right. I mean it’s taking about two weeks to turn this completely renovated unit versus five to seven days and do a natural turn. In Louisville, Jamestown, South Terrace, we just wanted to -- we’re doing a pretty heavy marketing campaign and we wanted to have units available that were renovated as the traffic came and to rent them. It’s a managed process. I mean we’re looking at every property we’re doing renovations in and managing how many units come up renewals and how many we want to renovate and how deep the market is.
Drew Babin: Great. That’s all from me. Thanks.
Operator: Thank you. And the next question comes from the line of Brian Hogan with William Blair. Your line is now open.
Brian Hogan: Good morning.
Farrell Ender: Good morning.
Brian Hogan: Question on the nine properties. Given 12% NOI growth and you said you are quite in for like -- and then kind of bridge that into the Columbus properties, where you got the 5.9% cap rate purchase price. I guess, I assume you kind of say you’re going to get the NOI growth and value-add initiatives that are -- what about the cap rate after the value-add initiatives? 5.9%, it’s lower than what you’re currently trading at?
Farrell Ender: Well, on the HCI portfolio, the nine-property portfolio we purchased, we were performing stabilized cap rate after value-added 7% to 7.5%. The two properties in Columbus we have in, there was -- they were purchase based on the existing cash flow, and so we said in the past we’ll get them on our platform. We think we can operate them better. I think we can plan some more efficiencies. We’ve mentioned one of the properties we’ve bought was 99.2% occupy. We just believe that they really weren’t focused on pushing rents. And then we’ll evaluate if there are good opportunities to add to the value-add pipeline.
Brian Hogan: All right. And then your unencumbered assets are 40% of your portfolio there. But can we - is it the time to think about a little more changing the capital structure maybe to do rated bond offering. I guess what are you thinking about using those unencumbered assets for?
Farrell Ender: Yeah, I mean that’s exactly where our focus is intending on going is to get into the kind of the rated bond market. We’re not there just yet, but we’re certainly continuing to push in that direction. And probably the first step will be doing some type of rated insurance bond potentially, but for kind of doing a broad investment-grade kind of situation, but we’re moving in that direction.
Brian Hogan: All right. Thanks for your time.
Scott Schaeffer: Thank you.
Operator: Thank you. The next question comes from the line of Craig Kucera with B. Riley FBR. Your line is now open.
Craig Kucera: Hi. Good morning, guys. I want to circle on the value-add program. It looks like you spent about $2 million this quarter. How are we thinking about the cadence of spend for the year? And is your guidance inclusive of hitting all of your completions? Or is that really just a function of where you see sort of more organic or market rent growth or NOI growth going?
Farrell Ender: Well, the pace especially will start picking up as we enter into the natural season in spring and summer, where you have more leases rolling. If Q2 is estimated right around 300 to 350, Q3 will get 700 and then scale back a little bit as the amount of leases expiring reduces towards the winter.
James Sebra: And then the guidance, it does include obviously hitting that completing those units and then re-leasing them at them at the leasing spread that Farrell mentioned of about $154 a unit or a 20% ROI.
Craig Kucera: Okay, thanks.
Operator: Thank you. [Operator Instructions] And our next question will come from the line of John Massocca with Ladenburg Thalmann. Your line is now open.
John Massocca: Good morning, gentlemen.
Scott Schaeffer: Good morning.
John Massocca: So with Avon hoax, already I'm assuming you're working on that transaction for a little bit. So was that already factored into your prior earnings guidance? And if not, how much of an impact did that have?
James Sebra: It was in a very -- it was factored in. It was relatively small impact. Obviously, it's in the non-same-store category, so it doesn't have its impact to the same-store guidance. And for the year, until it's kind of on our platform and running for a period of time, it's a very small kind of earnings effect.
John Massocca: Understood. And given your current leverage levels and -- do you think you have the ability to add incremental acquisitions without kind of matching with disposition proceeds or maybe even additional equity?
Scott Schaeffer: No. I mean, clearly, as I've stated all along, we are focused on bringing leverage down, not increasing it. So we would not acquire an asset through the use of all leverage. And in fairness with our stock trading and what we believe is a real discount to NAV, I'm not really looking forward issuing equity. So we're focused on the value-add program. We think that that adds tremendous value to the company. And when the timing is right, we'll grow through new acquisitions. But again, if we see the ability to recycle out of something and to replace that capital accretively, we'll do that, but not throughout an issue equity to grow or to just use leverage to grow at this point.
John Massocca: Sure, that makes sense. And then kind of maybe shifting gears to the existing portfolio. Same-store repair and maintenance expenses were down almost 20%. How much of that was -- in the quarter. How much of that was weather-driven and maybe just not having the weather out there to be able to do some of the repair-type stuff. And how much of that was just related to not need to do repairs this time around the cycle versus last year?
James Sebra: So I think it's twofold. One, it's not needing to do the repairs this year; and two, just lower turns happening at the properties.
John Massocca: Okay, there’s more lower turns rather than anything where the weather was such that you couldn't have people go out and do certain repairs and that's going to kind of maybe come back up in 2Q as some of these things got delayed?
James Sebra: Yeah. I mean, we always see a slight uptick in repairs, obviously, once the weather gets better and we always budget for that. But when you look at kind of Q1, there were some repairs last year that needed to be made and they did not needed to be made this year.
John Massocca: Okay. That’s it from me. Thank you, guys, very much.
James Sebra: Thank you.
Operator: Thank you. And I’m showing no further questions at this time. I would like to turn the conference back over to Mr. Scott Schaeffer for any further remarks.
Scott Schaeffer: Well, thank you, everyone, for joining us today and we look forward to speaking with you next quarter. Have a good day.
Operator: Ladies and gentlemen, thank you for participating in today’s conference. This does concludes your program. You may all disconnect. Everyone, have a great day.